Operator: Good afternoon and welcome to today's Noodles & Company Fourth Quarter 2015 Earnings Conference Call. All participants are now in a listen-only mode. After the presenters' remarks, there will be a question-and-answer session. As a reminder, this call is being recorded. I would like to introduce Noodles & Company's Chief Financial Officer, Dave Boennighausen. Sir, please begin.
David J. Boennighausen - Chief Financial Officer: Thank you, Neesy. Good afternoon everyone and welcome to our fourth quarter 2015 earnings call. Here with me this afternoon is Kevin Reddy, our Chairman and Chief Executive Officer. Let me start by going over a few regulatory matters. I'd like to note that during our opening remarks and in response to your questions, we may make forward-looking statements regarding future events or the future financial performance of the company. Any such items, including our guidance about our anticipated results in 2016 and details relating to our future performance should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are only projections and actual events or results could differ materially from those projections due to a number of risks and uncertainties. The Safe Harbor statement in this afternoon's news release and the cautionary statement in the company's most recent Form 10-K are considered a part of this conference call. I refer you to the documents the company files from time to time with the Securities and Exchange Commission, specifically the company's Annual Report on Form 10-K for its 2014 fiscal year. This document contains and identifies important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Now, I'd like to turn it over to Kevin.
M. Kevin Reddy - Chairman & Chief Executive Officer: Thanks, Dave, and good afternoon everyone. I'd like to start by sharing some of the important progress that we made during the fourth quarter of 2015 and early 2016. I'm very excited at the momentum we are starting to see at our restaurants and very confident that we're executing on the initiatives necessary to return the brand to our historical growth expectations. During the fourth quarter, we saw a 140 basis point improvement in our traffic trends from the prior quarter, with trends improving throughout the quarter. Comparable sales declined 0.9% for company restaurants and 1.1% systemwide, with only 40 basis points of price included in those figures. Through our earnings call on November 5, 2015, comparable sales were a negative 1.5% and then improved to a negative 0.5% during the balance of the quarter. This momentum is continuing into 2016. Through yesterday, February 24, the quarter-to-date comparable sales stand at a positive 0.4% at company restaurants and a positive 0.8% at franchise restaurants despite more challenging weather than normal, particularly a strong winter snowstorm earlier this quarter on the East Coast. I am pleased that much of this improvement has been seen in areas where we have previously – or purposely increased our media presence. As we've discussed on prior calls, we believe firmly that increasing brand awareness is a great opportunity and our media plan is helping us improve comparable sales. As an example, in the Washington DC metro area, our comparable sales increased over 2% during the fourth quarter, a cumulative improvement of over 500 basis points from where the market had been performing earlier in 2015. We continue to be pleased with the response we're seeing from our media efforts and we'll be expanding the program during the second quarter of 2016, which Dave will discuss at greater length. Another important sign of progress that we saw during the fourth quarter was the response to our launch earlier in the quarter of our Made. Different. brand positioning and related REAL Food platform, as well as the introduction of our Kids Meal. As we discussed in our most recent call, the brand has significant strengths in both our relevance with families as well as our differentiated culinary approach. Still, we know that our work is not done and that we have an opportunity to communicate our strengths to our guests, which we have been investing in over the past several months. Again, this strategy is showing signs of working. We are seeing a corresponding improvement in our guest satisfaction scores from overall satisfaction to value. In our traditional media as well as our communication channels inside our restaurants and within social media, we will continue to build on this strength during 2016 and expect to further capitalize on our unique differentiation for today's millennial families. Another item that I would like to discuss is our progress with building off-premise sales, an important initiative gaining momentum. Our catering program continues to grow steadily and contributed 1.5% of sales during the fourth (5:35) quarter, with year-over-year sales on a per-restaurant basis increasing 60% from the prior year. We will continue to build on this program during 2016, including our recent introduction of a national toll-free number to facilitate catering orders, as well as a disciplined investment in catering sales managers in select markets. We're very encouraged by some of the early lifts we're seeing from these strategies and we'll be quickly expanding them into other markets. Online ordering also continues to grow and accounted for 5% of sales during the fourth quarter, a 70 basis point increase over the prior year. Like catering, we believe that we only have begun scratching the surface of the potential of online ordering and we will be executing promotional and merchandising initiatives throughout the year to better educate guests on this option. We consider online ordering to be a throughput equalizer as it allows the guests to skip the line, prepay on their mobile device, and have a more frictionless experience to receive a customizable meal made just for them. Finally, we're seeing strong results in a small percentage of our restaurants that currently offer delivery, with restaurants seeing up to 50% of their online orders going through that channel. While we expect to be measured in the expansion of this program during 2016, early signs indicate demand for the delivery option which appears to be primarily incremental sales. With the success we're seeing in growing our catering, online ordering and delivery platforms, off-premise sales accounted for 43% of sales in the fourth quarter compared with figures in the mid- to high-30% range just a couple of years ago. Returning to 2016, earlier this month. we launched our Asian Exploration, which includes the introduction of a Korean BBQ Meatball sharable featuring a phenomenal Gochujang Sauce, as well as a new Pad Thai formulation, a popular dish which we had recognized an opportunity in improving the flavor profile. As an aside, furthering our commitment to clean ingredients, our new meatball is naturally raised, antibiotic and hormone-free. Our Asian Exploration further validates our world kitchen positioning, which we will continue to capitalize throughout our culinary pipeline. While trends are moving in the right direction, we fully recognize that they have come with increased pressure in our P&L as we continue to execute our plans against media, brand positioning and off-premise sales in 2016. With the inefficiencies of new markets as well as structural pressures in labor, this has resulted in margin de-leverage, which Dave will break out in a few minutes. Although we expect continued pressure in the first half of 2016 from these investments, our objective with these strategic initiatives is to create a platform that will ultimately return us to consistent outsized earnings growth in the years to come. It is important to remember that our restaurants generate strong returns at maturity, with our mature markets providing restaurant level margins well north of 20% on volumes 15% to 20% higher than the system average. During recent years, this has been diluted with the inefficiencies associated with new markets, which we have been actively addressing. In 2016, we will be making important investments in the infill of our newer markets as well as in capitalizing on our strong asset base at existing restaurants. We are also confident that this strategy will allow us to execute at a higher level inside our restaurants. Our customer satisfaction scores are improving throughout the entire system and we are focused on improving not just the guest experience, but also our ability to operate consistently and efficiently. Our goal for the last half or 2015 was to create the right platform to support future growth through the launching of a new brand positioning, the introduction of media efforts and the culling of underperforming units that had been a burden financially and with respect to company resources. We successfully achieved that goal, which we believe led to the traffic improvements during the fourth quarter and into 2016. Looking forward, we plan on building on that momentum this year through continued investment in media and off-premise opportunities. Our development strategy shifts capital allocation away from new market investments and into the infill of our existing footprint, including selective remodels of our restaurants. While we expect earnings to remain under pressure in 2016, our target is to return to positive traffic growth and low-single-digit comparable sales this year, again, a path we're seeing positive results and momentum in. Also I'd like to make a comment regarding some important efforts taking place in the people engagement and development areas. Over the past six months, we've been rolling out a comprehensive program intended to enhance our salaried managers' ability to set clear direction, inspire and influence their teams. The potential of the development program, that we call My Road Trip, combined with our discipline around our operations training give me confidence that we will raise our operating performance to a higher, more consistent level and further strengthen our team and people bench. I am proud of what the team has already accomplished in executing our growth strategies and genuinely optimistic at what's to come over the years ahead. I'd now like to turn it back to Dave to discuss our financial results at more length.
David J. Boennighausen - Chief Financial Officer: Thank you, Kevin. Revenue in the fourth quarter of 2015 increased 7.9% to $117.1 million, the result of new restaurants offset by a slight decline in comparable sales and the closing of 16 company restaurants. We reported flat adjusted net income and adjusted EBITDA of $7.8 million. For the full fiscal year 2015, we reported adjusted net income of $3.9 million or $0.13 per diluted share, and adjusted EBITDA of $38 million. In the fourth quarter, comparable restaurant sales decreased 0.9% at company restaurants, 2.1% at franchise restaurants and 1.1% systemwide. For company restaurants, we only had 40 basis points of price, implying a roughly 130 basis point decrease in traffic, an improvement from prior quarters. From a cadence perspective, as Kevin mentioned, company comparable sales were negative 1.5% through our prior earnings call on November 5, and negative 0.5% during the last seven weeks of the quarter. Also as Kevin mentioned, that momentum has continued into 2016. Through yesterday, February 24, comparable sales, year-to-date, have increased 0.4% at company and 0.8% at franchise restaurants. While we are pleased with our momentum, please keep in mind that we have our most challenging comparison of the quarter coming up in March at just shy of 2%, plus we will have a 50 basis points to 70 basis points negative impact to sales from the shift of the Easter holiday on the full quarter. We implemented a modest price increase early in the first quarter of 2016 and full Q1 effective pricing will be just above 1%. Given the continued labor pressures that we are seeing as well as the strengthening in our value scores with the introduction of our Kids Meal and Made. Different. positioning, including our commitment to REAL Food, we anticipate taking an additional 2% or 3% of price sometime during the second quarter. During the fourth quarter of 2015, we opened 21 new restaurants systemwide, including 14 company-owned and seven franchise restaurants. Incorporating the closure activity previously announced, we completed the year with 422 company restaurants and 70 franchise locations. We anticipate approximately 50 openings systemwide in 2016, including 40 to 45 company openings. As we've mentioned, the pipeline is front-loaded, with approximately 25 company openings occurring during the first half of this year, including 13 to 15 this current quarter. As discussed in prior calls, our openings over the next several quarters will be concentrated in the infill of existing markets, which we expect will mitigate the risk and pressures associated with entering new markets as well as result in increased efficiencies throughout the P&L. We've also initiated a remodel program and are encouraged by early results. Our initial efforts will inform a larger program, but our first blush (15:28) is that over the next 18 months to 24 months, we will do various tiers of remodeling at approximately 75 locations nationwide. Restaurant level margin in the fourth quarter declined 510 basis points to 14.9% due to a combination of increased marketing expense, new market inefficiencies, minimal price benefit, the impact of underperforming units and structural labor pressures. We're actively addressing all of these impacts through our sales building, development and pricing strategies. Our cost of goods sold of 27.5% in the fourth quarter was 70 basis points above prior year, primarily the result of increased promotional activity supporting our Made. Different. brand positioning launch and REAL Food initiatives as well as modest commodity inflation. We anticipate COGS to continue to be in the low 27%s through Q1 before more favorable pricing and inflation brings COGS down below 27% during the balance of 2016. Labor continues to be the largest cause of pressure in our P&L, increasing 230 basis points from the prior year to 32.2% during the fourth quarter. Of this 230 basis points, wage inflation of nearly 5% and the implementation of the Affordable Care Act caused over half of the increase, with the balance coming primarily from AUV de-leverage and the inefficiencies of new markets and new restaurants. Similar to COGS, we anticipate labor will see its most significant pressure during Q1 and then to continually improve throughout the year as we receive more pricing benefit and overlap the most significant structural labor increases. Importantly, beginning in the third quarter, we will also see a reduced rate of new unit growth and the initial inefficiencies that come with it. So, again we feel the worst labor pressure will be seen during the first half of the year. To put the labor pressure in perspective, inflation of 5% versus our more typical 2.5% rate adds an incremental $2.5 million of expense annually, or approximately $0.05 of earnings per share. During the fourth quarter, occupancy costs increased as a percentage of sales by 30 basis points, which compares favorably to the 60 basis point de-leverage that we had seen during the first three quarters of 2015. This improvement was primarily the benefit associated with the closing of 16 underperforming units, which I will discuss in a little bit. Operating costs increased 170 basis points as a percentage of sales to 14.4%, primarily the result of increased marketing spend. Marketing spend in the fourth quarter was 1.9% of sales, a 100 basis point increase from prior year. As Kevin mentioned, we continue to be encouraged by the initial benefit that we are seeing from the increased marketing spend and expect an increase in 2016 to approximately 1.7% to 2% of sales. Again, much of the P&L pressure year over year will occur during the first half of 2016, as in 2015 our marketing expense was 0.8% of sales during the first half of the year and 1.8% during the last half. We anticipate marketing spend will be approximately 1.5% of sales during the first quarter of 2016 before increasing to between 1.7% and 2% during the balance of the year. Our general and administrative expense of 8.7% of sales in the fourth quarter was an 80 basis point increase over the fourth quarter of 2014, due primarily to the support of new markets and to our marketing initiatives. For 2016, we anticipate G&A expense of approximately 8% of sales compared with 8.2% for the full year 2015. Our tax rate for the fourth quarter on a GAAP basis was 39.9% and for the full year was 38.8%. Our estimated annual tax rate for 2016 is between 38% and 40%. As of the end of the quarter, there was $68.2 million in debt outstanding on the revolving credit facility; cash on hand was nearly $1.9 million. Looking forward on capital allocation, as noted earlier, our restaurant openings in 2016 will be concentrated during the first half of the year. During the fourth quarter of 2015, the company increased its credit facility to a maximum of $100 million and we anticipate continued improvement in our cash flow profile over the course of 2016 as unit growth moderates. I would now like to give an update on the activities surrounding underperforming units that we discussed at our prior earnings call. During the fourth quarter, the company recognized $6.8 million of expense related to restaurant impairments, closure costs and asset disposals. Specific to the closures, we still expect total pre-tax cash expense to be approximately $5 million, of which only a fraction was incurred during Q4, primarily cash costs related to severance and closing activities as well as one lease extinguishment. Moving forward to 2016, there are two calendar impacts that you should be aware of. First, as was mentioned earlier, we are closed on Easter Sunday, which will negatively impact Q1 sales by approximately 50 basis points to 70 basis points and then benefit Q2 by the same amount. Also, this year will be a 53-week year, so Q4 will have an additional operating week, although since it's a holiday week it will have minimal impact on profitability. We currently anticipate the following for full year 2016: revenue of between $505 million and $515 million; low single-digit comparable restaurant sales; restaurant level margin of between 14% and 16%; adjusted EBITDA of between $38 million and $40 million, or flat to 5% growth; adjusted diluted earnings per share of between $0.04 and $0.08. From a timing perspective, as discussed over the recent months, we continue to believe that earnings will be most under pressure year over year during the first half of 2016 and this is for three significant reasons. First, we will not overlap our initial investment in marketing or the Affordable Care Act until July this year. Second, we will have more pricing benefit after Q1 of this year, and finally, our new unit development and the initial costs and inefficiencies associated with it will be heavily first half-weighted. While we recognize the short-term impact that investments have had on our earnings, as Kevin discussed, we strongly believe that we will create the platform for sustained sales and earnings growth in the years to come. Our initiatives are beginning to take hold, from media to operations to off-premise sales. Momentum is going in the right direction and we firmly believe the company will exit this transition period stronger because of that. Now, I would like to turn it over to Kevin for final remarks.
M. Kevin Reddy - Chairman & Chief Executive Officer: Thank you, Dave. In closing, I'd like to share the following four comments: The Noodles & Company brand remains a unique, truly differentiated concept with an industry-leading connection to one of the most important and largest future demographic groups, millennial parents and their families. We are making the right investments to create long-term value and build same-store sales, particularly in the areas of media, promotion, remodeling our older restaurants, our people, as well as targeted infill growth in the right markets. We have created the right plan, focused on the most important objectives to build real enduring growth, which is generating the positive momentum and green shoots already evident. Lastly, I am pleased and confident with the team's focus, objectivity, intensity and ability to remain persistent towards executing our shared expectations. As always, I want to thank you for your time. We appreciate and respect it very much. And Neesy, if you would please open the lines for Q&A at this time.
Operator: . And our first question comes from the line of Joe Buckley from Bank of America. Your line is open.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Hi, thank you. I just have a few questions. You mentioned the pricing increase taken at the beginning of this year, so what is the same-store traffic for the first quarter to-date?
M. Kevin Reddy - Chairman & Chief Executive Officer: About negative 0.5%, Joe.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And I know you talked about taking 2% to 3% pricing next quarter. Is that mostly wage-driven or are you starting to see a little food cost inflation, or what's kind of the thought process behind that magnitude of pricing following the early 2016 price increase?
David J. Boennighausen - Chief Financial Officer: Sure. We had decided earlier – actually at the end of last year that we would take price in increments over the course of 2016, delayed the one that we would have normally taken in Q4 2015 because we wanted to introduce the Kids Meal, start getting some of the media, Made. Different. brand positioning out there so that we could get some more credit for our ingredients and for our REAL Food initiatives. As we've done that, we've seen our value scores really improve dramatically. We've seen our Kids Meal in particular have some great strength as well, so we feel very comfortable with where the value proposition has put us and the place and flexibility we have. From the perspective of labor, that's certainly where we're seeing the inflation. We had been talking about 3% to 5% inflation that we were seeing over the course of 2015. During Q4, that was around 5%, doesn't show any signs of necessarily slowing down. So that is something that has kind of continued to accelerate over the course of the last several months.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then just the – plenty of (25:57) first quarter and even first half versus second half comments, does the $0.04 to $0.08 contemplate a couple of money losing quarters for the first half of the year?
David J. Boennighausen - Chief Financial Officer: Yeah, I mean it's a little bit early to be getting too much granularity into the quarters because we think there is a lot of variability at play there. But I think you can expect that the first quarter might have a similar earnings per share decline year over year versus what you saw in Q4. In Q2 would be when we'd expect to return back to a positive EPS perspective.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay, okay. And maybe one more, the expansion numbers this year obviously front-end loaded, as you work your way through the sales issues, how are you thinking about expansion beyond 2016?
David J. Boennighausen - Chief Financial Officer: So, for expansion beyond 2016, no specific target. What the direction is to the team is we know where we have the most efficiencies in the P&L in building brand awareness and building average unit volumes; that's in the infill of markets where our brand awareness is currently relatively low. Could that growth rate be in the single digits? Absolutely, but we don't have a specific target right now for 2017 and beyond.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of Sam Beres with Robert W. Baird. Your line is open.
Sam J. Beres - Robert W. Baird & Co., Inc. (Broker): Hi, good afternoon. Just maybe first, to start on a question on the comps, maybe just your confidence in achieving the full-year comps outlook? Obviously some more pricing coming in in the rest of – in Q2, but maybe just thoughts on what you're seeing with the traffic turnaround, and maybe where you exactly expect to see traffic end up for the full year and progress throughout the year?
M. Kevin Reddy - Chairman & Chief Executive Officer: Yes, and this is Kevin. Our objective and focus has been to get back to positive transaction growth. We have been on that path. We're making progress towards that path. Where we are in Q1, we're seeing sequential improvement from quarter to quarter. So the cadence is in the right area. And I would expect that to continue with the initiatives that we have focused on because they're all paying some dividends incrementally and contributing to that.
Sam J. Beres - Robert W. Baird & Co., Inc. (Broker): And maybe just a question on the marketing, obviously rolling it out further across the system here. So maybe you can just provide some perspective on what exactly the plans are for the rollout across the system, and if you expect to kind of shift some of that spending you saw obviously in the four primary markets launched last year into some other larger markets this year?
M. Kevin Reddy - Chairman & Chief Executive Officer: Yes, we are going to continue moving forward with our media and promotion and social digital. You did mention we had four markets that we focused on last year. I think we've talked in the past about that Mid-Atlantic area, Colorado and then two smaller markets. We're going to continue a sustaining level of spend in those four, and we're going to add one more large market and a medium-sized market to that media mix, increasing the spend, getting us upwards of north of 40% of the restaurants in the system, while supporting the rest of the markets appropriately with social, digital and our focus on local relationship marketing.
Sam J. Beres - Robert W. Baird & Co., Inc. (Broker): Great, thanks.
Operator: Thank you. Our next question comes from the line of Jake Bartlett from SunTrust. Your line is open.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Hi, thanks for taking the question. Kevin, just a follow-up on that question, with the marketing, it sounds like it's – from what you're saying, it's been successful in the markets where you rolled it out. You just mentioned you're rolling it to one more and you'll have 40% coverage this year in 2016. But what is the hold back? Why not just go for the whole system? And are you still trying to figure out what the right mix is? Is it a matter that it's just too expensive to do it all at once? And you know I would have thought that maybe the sales lift would offset the cost to that, but maybe just the pushes and pulls of why you're not going faster.
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, that's a good question, Jake. We think we're doing the appropriate things in the right markets. The media in particular, where it's effective in the larger markets where we have economies of scale, we're deploying it, and we're in medium-sized markets. I think part of the difference of the percentage of restaurants we're covering is we still have a lot of small markets that we don't have brand awareness, don't have economies of scale. It's probably not the appropriate channel to get the right return. And that's really why we're pacing it the way we are. We have a lot of confidence in it. And as we've mentioned before, the positive momentum we see from it, while it is largely brand media creative, is extremely encouraging to me. Because as we build a mix onto that brand positioning and food platform of REAL Food, REAL Cooking, REAL Flavors and we mix in a little more promotional driving and culinary messages, I think we're going to see a pick-up in the activity in the restaurant. So, deeply believe in it, like what we're seeing and we'll continue to roll it.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great.
David J. Boennighausen - Chief Financial Officer: Yeah, I would also add to that, Jake, just one final moment, which – we also have about 20% of our spend that is being used on digital channels, whether they be paid search – and that's really nationwide. So we are touching some of the other markets, just not with as much traditional media.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Got it. Did you detect – there's some conjecture that this might be the case, but did you detect any boost to your sales from Chipotle's issues? I know you share a bunch of the same markets. Were those markets stronger, particularly say Colorado or something, was there any way you can measure that, and if you could just update us on that?
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, I would tell you, I think that's difficult to tell. We have a slightly different focus in our core guest. We do share a lot of markets, but I think we're one of a gazillion management companies that were trying to do back-of-the-envelope math on that. I don't believe we saw really any measurable statistical difference, positive and/or negative, from their movement. And even since they've started a significant marketing spend, promotional spend, in the month of February, we really haven't seen a negative impact from that as well. So, I think that focusing on our plan and our core guests, the millennial families, is what we're going to stick to and it seems to be working.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Got it, and one last one from me. So just on the pricing plan, so you took about 1%, a little over 1% in the beginning of the first quarter. Was that in January?
David J. Boennighausen - Chief Financial Officer: We actually took it a little bit in January and some in February, we kind of did a little bit of testing in a phased approach with that. So the effective price for the full quarter will be about 1%. We are a little bit shy of that from the quarter-to-date numbers.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Okay, so just how does that work, what were you going into the quarter with and then what did you take in the month exactly, and what's the pacing of the pricing in the second quarter? I'm just trying to see if we can model, make sure I'm modeling that right. And then, the bigger question is, it seems like you're ending up close to 3.5% of pricing in the back half of the year, if I'm correct about those two things. And how do you reconcile that? How confident are you that that won't pressure your traffic? It seems like traffic's obviously – should be the – probably the main focus or it is your main focus, and how do you reconcile taking such a big price increase, I think more than most that we're seeing across your competitors?
David J. Boennighausen - Chief Financial Officer: Sure, a few things there, Jake, so I apologize if we miss on some of them. I'll give some texture on the cadence of pricing that we've seen so far. Entered the year just north of 0.5% of price, layered on about an additional 0.5% or so in the early parts of February as we launch the Asian Exploration menu; so that's where the cadence has been. From an overall perspective, and I'd love Kevin to chime in as well, we look at the value scores and we're very pleased with what we're seeing. And also I'd keep in mind that we didn't do a single price increase in 2015. So we've been kind of lagging the system for a while. We'll be doing this in a staged manner. We'll be offsetting it with very specific tactics, like the Kids Meal, that we feel very strongly we'll be in a good position.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great, thank you very much. I'm sorry.
M. Kevin Reddy - Chairman & Chief Executive Officer: No, what I was going to bring up was our value scores are continuing to improve. I think our Kid Meal is a phenomenal value which is helping our core, probably most loyal guests, so that provides some relief. And I think the combination of those two things and the fact that we've generally trailed price increases both at grocery stores as well as other restaurants, I feel comfortable we have the room to be maybe a tad higher this year than we've traditionally run.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Thank you very much.
Operator: Thank you. Our next question comes from the line of Jeffrey Bernstein from Barclays. Your line is open.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Great, thank you. A couple of questions, one is just following up from the conversation I think we had earlier, or early in 2015 where we just talked about the made-to-order differentiation. It seemed like the way your model is built, it's built more on the causal dinning type model relative to more fast casual peers that are more cafeteria style. And I think you had said you were considering some alternatives, maybe some preparation ahead of time, so it's less intensity at the time of order. Can you give any updated thoughts on that as to whether or not you are comfortable with the full kind of made-to-order versus considering more pre-made type offerings just to kind of speed the throughput line?
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, we are comfortable with our core cooking methodology. And I think what we've talked to you in the past is, how do you simplify certain recipes, how do you make sure that prep pool, all the small wares are in the right place. So, our efficiencies really have been targeted to make it easier for our team members and to improve throughput, which we think is the core driver in fast casual, particularly at lunch. We very much like the fact that we offer some of the most important consumer need states from casual dining, and fast casual. And we think being able to deliver a customizable made-to-order Real meal that is cooked one person for one person is a distinct advantage in our space, as long as we can meet speed requirements.
David J. Boennighausen - Chief Financial Officer: Yeah. And we think the occasions that Kevin mentioned, again 43% of our business is now going through the to-go channels and that's where we think we have just tremendous opportunity, and that's in growing online ordering. So, when you use online ordering for Noodles & Company, it allows you to skip the line. You can prepay on your mobile device or online and just go right to the third register and pick it up, and we have plenty of capacity in our restaurants to do so, that's where we probably think the biggest opportunity is, Jeff.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Got it. And then we often learn a lot about what's going on within the brand just in terms of feedback from franchisees, I'm just wondering in your recent conversations with franchisees, it seemed like through much of 2015, things were slow, and now maybe there is some optimism that things are improving, but how is the morale in the franchise system? Is there any – would you point to any friction points or – what are they thinking about new openings, which tends to be a good leading indicator? Just trying to get a feel for sentiment from the franchisee's perspective?
M. Kevin Reddy - Chairman & Chief Executive Officer: Sure, we have a small, but very experienced group of franchise operators. I have a tremendous amount of respect for him and they're in their businesses, involved in it. I think their focus has been very productive and very positive. I mean, these are folks that do this for a living. They understand the space. And then they are objective about the areas that they are provocative in pushing management to improve as well as in their own organization. So we had a good amount of openings from them. They're focused on improving guest experience and improving profitability, which I think is the pretty much normal everyday activity with a franchise or a franchisee. So, I like the group we have, and in many cases, they're helping us innovate and setting certain records, particularly in sales of certain menu items as well as overall volume. They're well represented in the success of the company.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Got it. And then just lastly, Dave, I think you gave some color from a cost side, I think on the food line, you mentioned directionally around percentage of sales. Is there it just a number you'd provide in terms of what you think your basket is going to be in 2016 and maybe what's locked? And then separately, I think you said 5% for the labor line – or maybe that was in the fourth quarter of 2015, is that a reasonable number for the full year 2016?
David J. Boennighausen - Chief Financial Officer: Yes, so the 5% was related to the wage inflation which is about three-quarters of our overall labor expense, I would expect for the full year of 2016 something along those lines. On the commodity basket, really talking about just a flat to potentially 1% growth there, so it looks very good. A good amount of that has already been booked. Where we will potentially have is some of our investments in some of our REAL Food initiatives. We had talked about going to a naturally raised steak later on this year, that's something we're still planning on doing. So the overall commodity basket looks very good. We might be doing some more investment on the food ingredients side.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Understood. Thank you.
Operator: Thank you. Our next question comes from the line of Andy Barish from Jefferies. Your line is open.
Andy Barish - Jefferies LLC: Hey guys, wondering if you have enough data or maybe going forward, how we should think about the Kids Meal impact on same-store sales in terms of the check average or traffic driving? Is there enough history, or how should we think about that?
David J. Boennighausen - Chief Financial Officer: Well, it's a good question Andy. Certainly, as we tested it in the summer of last year, we were looking at those things very closely. Easiest thing to measure is how the per-person spend changes an average check in general. That, we saw, is pretty much flat, relatively neutral. So from a frequency play, that's what really the Kids Meal is pretty strong at. It's a little early to be getting full overall numbers, and clearly we have a lot of other great things going on, so I don't think we can peg a specific number to it.
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah I think Andy, this is Kevin. I think because part of the early introduction to educate our audience and the families is we did a lot of family night – not a lot, but we did some family night promotions which muddies up the noise and the analysis, and as we get through that we'll be able to share more.
Andy Barish - Jefferies LLC: Sure, and Dave, just reminding us of the restaurant-level margin savings of the closed units and then taking that into account with your margin guide, I guess what would arrive you at the low end of your margin guide of 14% versus more flattish for the year at kind of 16% restaurant-level margins?
David J. Boennighausen - Chief Financial Officer: Yeah, the labor inflation is where we see the most pressure, no question, and then the investment that we have in marketing. So as those two play out, that's absolutely our biggest headwind. The benefit from the closures was about 120 basis points on an annualized basis. Since we closed them in the middle of Q4, it might be more just north of a 100 basis point benefit for the full year of 2016. But really labor and marketing is where you see the pressures more than anything else in 2016, Andy.
Andy Barish - Jefferies LLC: Okay, thanks guys.
Operator: Thank you, our next question comes from the line of John Glass from Morgan Stanley, your line is open.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. The channels you talked about of growing sales and seeing catering, online and delivery, is the total of those 43% or is that still a very small piece and the biggest piece is still just people that walk in and wait for their food or maybe call in or something?
David J. Boennighausen - Chief Financial Officer: The biggest is absolutely still people that are coming into our restaurants, ordering and then waiting the four to five minutes that it takes us to make the meal. That is why it's just such a tremendous opportunity for us because we know that if we can get those folks to skip the lines, it becomes a so much more convenient opportunity for them. Delivery is really only in a handful of restaurants, very pleased with what we see. As Kevin mentioned, we will be disciplined in rolling that one out, John, because the market is pretty fragmented. From a unit economic perspective, it's not quite as favorable as other avenues of sales. So we like what we are seeing there, but we will be pretty measured there. And that's really a negligible part of our overall to-go right now.
John Glass - Morgan Stanley & Co. LLC: Okay. And then on the marketing, are you changing the message – is this a brand message? I haven't seen it myself, so is it a brand message, is it a specific dish? Or is it a discount? I mean are you changing that message in 2016, and what is the message that compels people to come in?
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, our message that we started out was really telling the great story we have around our food and ingredients and the fact that we do real cooking. And we will be building upon that message as we go into 2016. We won't be altering it. I think we feel the continuity to continue to tell that story is important about the care in the supply chain and the strength of the ingredients and the uniquenesses that we actually cook to order.
David J. Boennighausen - Chief Financial Officer: I also would say the team has done a tremendous job in terms of utilizing those other channels for advertising and marketing, whether they be direct mail, or whether they be digital, utilizing our e-mail database to where when we have the Asian Exploration, we were able to do some traffic driving aspects there to talk about some of the new dishes. So, the promotional overlay that we're doing is being very helpful as well in terms of not just getting out a brand message, but also driving traffic specific to some of our culinary initiatives.
John Glass - Morgan Stanley & Co. LLC: And just lastly on the unit growth, two things, one is, I think the question was asked about what exit rate of unit growth you were going to expect in 2017. I don't know if I understood – maybe I wasn't paying attention, what was the answer to that?
David J. Boennighausen - Chief Financial Officer: Yeah, ultimately you're looking at 40 to 45 company openings for the full year of 2016, of which 20 – 25 will be during the first half of the year. So the implied kind of annualized growth rate, if you will, for exiting the back half of 2016 is in that 7%ish range. That might be a fair way to look at 2017. But as we said earlier, there is no specific target that we've got. Our key is making sure that every site that we approve is absolutely the best return on investment we can get, in particular with the infill of some of those markets where we can gain better efficiencies.
John Glass - Morgan Stanley & Co. LLC: And then just on the remodels, are you testing a number of kinds or are these just the oldest stores? I think you said there is a variety of sort of brand images and stuff out there that you want to clean up. What percentage of the stores do you think need remodeling? I presume it's not 100% or close to that, but what is it, and how much do you think you're spending on the initial group?
David J. Boennighausen - Chief Financial Officer: I'll answer the last part of that question first and then let Kevin kind of talk about some of the strategy. So we are still a relatively new concept in terms of, we've been around for 20 years but we have a pretty young overall base. So we're probably talking only about 75 of our restaurants over that 18 to 24 months, with a pretty wide variety in terms of the type of investment we're doing. Some will be just really exterior signage, making sure we have the World Kitchen descriptor incorporated effectively, others will be a little bit more thorough remodels.
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, I think strategically what we know to be true is our new restaurants and new design are much stronger in terms of guest satisfaction, appeal, contemporariness. The environment is conducive to several different eating and drinking out occasions, and we have much stronger food cues (46:09). So, as we remodel some of the old restaurants, we're putting some of those elements into those restaurants. And the 75 that Dave mentioned are primarily older, that are getting that. I think, though, what I'm pleased with is when you look at dollars being spent against true sales building initiatives versus just bringing a restaurant up to more contemporary standards, most of our dollars are going to things that I think indirectly impact the guest. And beyond the 75 restaurants, we will still have a number of restaurants that will benefit from our new clearer, better signage and the descriptor World Kitchen, which we will begin to do on a subsequent path.
David J. Boennighausen - Chief Financial Officer: Yeah, and finally, John, I don't think I answered your question on the overall capital that we'll be expecting for this. Ultimately there will only be a handful of restaurants that really have dramatic remodels in terms of building out, including the kitchen. So, a rough estimate, you could probably assume, would be in the neighborhood of $100,000 per unit. So we're not talking about a dramatic redo of the entire layout.
John Glass - Morgan Stanley & Co. LLC: Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Strelzik from BMO Capital Markets.
Andrew Strelzik - BMO Capital Markets (United States): Hey, good afternoon everyone. Wanted to ask about the unit guidance also, it's a little bit lower than maybe you had indicated we should expect for 2016 a couple of months ago. So I guess I'm just wondering what changed over the last couple months and how did you decide that this is the right level? And is that just a delay maybe on some of the markets? Are you changing how you're thinking about some of those potential markets? Just anything around that delta.
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, I'll jump in first and then Dave can respond. I think what we've been trying to share is that we feel that we still have the capability of strong organic growth, we have a phenomenal development team. But the level that we would set would really be dependent on making sure that we're investing in the right markets considering the returns we're getting in those markets, making sure that we build brand awareness and making sure that we are still balancing the capital deployment to remodel. So we're not – we said we weren't going to chase a number. I think when you look at the year, we're probably still going to be closer to double-digit organic growth. I think Dave broke out the cadence. As you guys know, it's tough sometimes to get to a nice balance of six months of operations per restaurant throughout your entire portfolio. Our team really has achieved that. One of the pressures on Q4 and Q1 this year is really the amount of restaurants that we have opening early, so that has a dramatic impact on preopening costs and construction costs early in the year. So I mean, those are – it's just structurally the way the math works, but it's a really good thing. I think the point that we're committed to is to make sure that we are investing in the right place, getting the right returns, and that we really remain rigorous in looking at those site screens. And so it's possible that 2017 could be in that high-single-digit range and maybe not touch double-digit. But what we're committed to is that those dollars are working hard for us.
Andrew Strelzik - BMO Capital Markets (United States): And then you also mentioned a change at the in-store manager level to help drive execution or leadership, I wasn't exactly clear, I don't remember exactly what you said, but can you be more specific on what changed there?
M. Kevin Reddy - Chairman & Chief Executive Officer: Sure. We have always had, I think, a very disciplined approach to our operations training, our systems training. The area that I think has had some of the greatest progress and improvement, we hired a woman that heads up field talent and has really worked closely with our HR teams and our operating teams to develop what I think is one of the best-in-class development programs from a – developing managerial skills and leadership development, which really help folks not just understand technically what to do, but how do you communicate, how do you influence, how do you hold people accountable? And when you have such large number of restaurants spread across the country the way we do, that interior guest experience is largely functioned by what's happening inside those four walls. And this program directly enhances and improves that ability. And the early level of excitement that we're seeing is fantastic. Folks are adopting it, there is a lot of self development going on because of the excitement, and that's going to make a good difference in our operating levels.
Andrew Strelzik - BMO Capital Markets (United States): Great, thank you very much.
David J. Boennighausen - Chief Financial Officer: Thanks Andrew.
Operator: Thank you. Our next question comes from the line of Greg Badishkanian from Citi. Your line is open.
Frederick Wightman - Citigroup Global Markets, Inc. (Broker): Hey guys, this is actually Fred Wightman on for Greg. We were just hoping to get a sense, can you give us a little bit more background, how you're looking at the ROI and sizing the spending levels as you roll out your marketing initiatives in the new markets? Are you typically scaling up or scaling down the spend on a per-market basis?
David J. Boennighausen - Chief Financial Officer: Yeah, on a per-market basis, I mean it becomes, there are some variables at play there. So for the rest – the markets that we've already touched, we'll be going down to a more sustaining level. For the two or three more that we add, we'll probably go pretty similar to what we had done in Q4. From a return on investment perspective, this is primarily brand messaging and we're very pleased with the results that we're seeing, particularly in that DC metro area where, as Kevin mentioned, you saw pretty significant improvement versus what we had been running. But our expectation that's incorporated into the guidance is that it does have meaningful benefits to sales, but not necessarily have an immediate ROI impact.
M. Kevin Reddy - Chairman & Chief Executive Officer: The other thing I would add on a market basis is that you may remember Dave shared some per-store spends that we spent around the different markets around the country previously. And we were relatively low, at really insignificant levels. And how we're looking at it is, the markets we're choosing to put more of the media behind, we're bringing those -the spend on a per-store basis up to more competitive levels within those four to six marketplaces. And we're using some of the other monies that are charged in the P&L to support the national, social and digital. So we're shifting money around a little bit to try to make it work appropriately but where we are doing media, we are getting much more into the competitive per-store range. We're just allocating it prudently amongst our various markets.
Frederick Wightman - Citigroup Global Markets, Inc. (Broker): Great, thanks.
Operator: Thank you. Our next question comes from the line of Keith Siegner from UBS. You can ask your questions.
Keith R. Siegner - UBS Securities LLC: Thanks. Over the course of the last years, you went back to kind of look at this marketing program, to look at the Made. Different. campaign and all these adjustments you were going to make. Did you take a look at the menu? I'm curious, how are people using the menu? Do you see any changes now that you've been really pushing the Kids Meals? What about in, say, in the delivery test markets? Are people using the brand differently? And then when you think about all these various categories, from soups and shareables and salads and sandwiches, does everything still fit into the menu or – in terms of applicability, have you thought about maybe taking something out? Sandwiches, for example, what's the product mix on sandwiches? Could simplifying menu help with some of those throughput issues, et cetera? Thanks.
M. Kevin Reddy - Chairman & Chief Executive Officer: Yeah, thanks Keith. We certainly have looked at menu and done a fair amount of research on menu optimization and which dishes are most craveable and that's factored into our culinary innovation. Even where we have a good line like the salads, we're using it to increase overall the performance of that category. Even though we have a variety of sections for guests to participate in, we really still have a fairly manageable level – under 30 menu items, really, when you don't look at the deviation of size. So I think we're okay there. We have looked at trying to say, okay, is that a brand-appropriate category, is that a brand-appropriate item? You bought up sandwiches, sandwiches are about 4.5%, a little above that in terms of product mix. Interestingly enough, they performed very, very well from a taste profile standpoint in our menu research. We haven't made a decision to pull them out because in some markets and restaurants, that product mix is 3x that. So I think what we're trying to make sure is, can we offer the items that our guests want and will repeat-buy in a way that makes sense for the supply chain and cooking procedures? So I think as long as we can hit throughput levels, you won't see dramatic changes in categories. What you will continue to see is if we create a dish via an LTO or something else that has a similar taste profile as a current dish, we have the ability and the commitment to take something off.
David J. Boennighausen - Chief Financial Officer: Yeah, I'd say, I would agree with Kevin, Keith. And also mention just, when we did all that research – as you said over the last two years, there has been quite a bit of work done on that part, kids absolutely came out front-and-center, that's the first thing that we should be trying to tackle. The second thing was the Asian side of the menu. We were not up to the brand (56:06) promise that we'd seen with the other ethnicities, and so that was what we tackled during the first part of 2016. As you look forward, you know we don't want to necessarily say exactly what our menu innovations will be over the course of this year. But as Kevin mentioned, it will be optimizing the menu. I think if anything, you'll see less items, not more. But we feel overall that we're in a pretty good place in terms of the size of the menu.
Keith R. Siegner - UBS Securities LLC: Okay, that makes sense. Thanks.
Operator: Thank you. Our next question comes from the line of Jordy Winslow from Credit Suisse. Your line is open.
Jordy Winslow - Credit Suisse Securities (USA) LLC (Broker): Hi, thanks for taking the question. Sorry, if I missed it, but did you provide any outlook on interest expense and CapEx, and if not, would you be willing to give at least some directional guidance on that?
David J. Boennighausen - Chief Financial Officer: Yeah, interest expense, when you look at 2015, particularly Q4, we were just over $1 million in that. I think you can expect a little bit higher interest expense over – I'm sorry, over Q4, it was just shy of $650,000. You can expect a similar rate, a little bit higher during the first half of this year and then maybe slowing down a little bit over the course of the balance of the year. And then from an overall CapEx perspective, you can shave about eight restaurants off of what our 2015 number was. We'll be disclosing in the 10-K what the overall CapEx spend will be for 2016.
Jordy Winslow - Credit Suisse Securities (USA) LLC (Broker): Got it, thank you. And just one other, if I could. Your franchisees, any thoughts on how much pricing your franchisees will take in 2016 and kind of how they're feeling or how their philosophy is evolving on that front?
M. Kevin Reddy - Chairman & Chief Executive Officer: I don't have clear enough visibility to give you a tight range on that. As you know, we – they study our pricing, our various tiers and the geographies and learn from that. But they're – as independent operators, we really stay out of that arena with them, but historically, they have been fairly close to the decisions that we have made.
Jordy Winslow - Credit Suisse Securities (USA) LLC (Broker): Got it. Thanks very much.
Operator: Thank you. Our last question comes from the line of Nick Setyan from Wedbush Securities. Your line is open.
Nick Setyan - Wedbush Securities, Inc.: Hi, thank you. As you guys infill more of these locations, is there any concern at all about cannibalization actually increasing within your existing markets?
David J. Boennighausen - Chief Financial Officer: No, absolutely not, Nick, because the markets we're talking about are ones there are still at the very early stages of their development. The markets that we would potentially see cannibalization in, which would be like a Colorado, you won't see much growth there, it's really going to be in the markets that are very immature.
Nick Setyan - Wedbush Securities, Inc.: Got it. And then just on the labor line, especially in the first half, starting in Q1, year over year, you talked about very similar pressure. Are we talking about something in the neighborhood of 200 bps type of de-leverage in labor early on or is it going to be a little bit less than it was in Q4?
David J. Boennighausen - Chief Financial Officer: I would say 200 basis points is probably a pretty good guesstimate, we were at 230 basis points for Q4 of 2015, so I think that's right in line.
Nick Setyan - Wedbush Securities, Inc.: Thank you.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a great day.
M. Kevin Reddy - Chairman & Chief Executive Officer: Thank you.
David J. Boennighausen - Chief Financial Officer: Thank you very much, Neesy.
Operator: You're welcome.